Florence Tresarrieu: Hello, everyone, and welcome to our Q3 FY '25 sales calls. I guess you've all seen the press release this morning, Helene de Tissot, our Group CFO, will provide a brief opening comments before we move to your questions. To allow everyone to ask a question, please ensure you have 2 question maximum for Helene. Thank you. Helene, over to you.
Helene de Tissot: Thank you, Florence and good morning, everyone. Thank you for joining this Q3 sales call. We report a resilient performance with organic net sales minus 3% in Q3, minus 3% reported and year-to-date minus 4% organic, minus 5% reported. Volumes are growing year-to-date at plus 1%. Price/mix is minus 5%, primarily caused by strongly negative market mix effect. Note that there are some phasing technicalities impacting Q3 that will reverse in Q4. In India, to start with, the implementation of new automated customs clearance procedures that has delayed the clearance of our reported brand and a temporary production interruption in a third-party production facility in 1 major state, which is now resolved. Second, technicalities, Global Travel Retail, in addition to the impact of the suspension of cognac in duty free, the quarter is impacted by cycling a very high comparison basis, plus 38% last year. And then the third technicalities, which is impacting a number of markets, especially in Europe is the later date of Easter, with Easter Sunday falling on 20th of April, which is 3 weeks later than last year. The global macroeconomic and the geopolitical environment remains challenging and very fluid as regards to tariffs. Nonetheless, our balance and broad-based geographic breadth and our diversified portfolio remains key in mitigating some of the impact caused by the environment. While 3 of the 4 of our must win markets are significantly down, the rest of the world, accounting for 2/3 of sales is in growth. As explained in our H1 results, we are actively managing what is within our control as we adapt to these changing circumstances. We are continuously adapting our resources with agility, deploying our efficiency program and steering the organization to fuel our future growth and optimizing our cash generation. For fiscal year '25, we are confirming our outlook of low single-digit decline in organic net sales while sustaining our organic operating margin. I am confident in sustaining organic operating margin given the progress we are making in operational efficiencies, which is an ongoing process of continuously improving both how we operate and how we are organized. I emphasize that this outlook incorporates the expected tariffs based on the information we have today. At H1 communication, we explained that our outlook was predicated on a tariff scenario with a group annualized risk of circa EUR 200 million, with circa EUR 140 million in China and circa EUR 60 million in the U.S. This risk scenario remains in line with our current tariff situation i.e. 10% baseline tariffs and including 20% reciprocal tariffs on the EU. A&P will be maintained at circa 16% of net sales and strict discipline applied to structural costs. Maximizing cash generation remains a core focus for the group. Regarding foreign currency. At H1, we reported a negative FX impact of EUR 110 million on profit from recurring operations. And as we expected this FX to be positive over H2, leading to an improvement for the full year versus H1. The U.S. dollar and emerging market currencies have subsequently weakened and based on current spot rates, we can expect FX to be broadly neutral in H2. And for full year FX impact to be broadly in line with H1 at profit from recurring operation level. Turning now to our performance in our markets. So our sales performance, starting with the U.S. net sales Q3 at plus 2% year-to-date, minus 5%. So the U.S. spirits market remains broadly stable. Q3 organic net sales are ahead of sellout and were supported by wholesaler orders ahead of tariff advancements. Our sell-out gap to market continues to reduce in both value and volume. This improvement, in particular with Jameson, Absolut and Kahlua reflects our ongoing focus on execution, with actions being taken on pricing, commercial excellence and marketing excellence, for example, reinforcing our on-trade brand advocacy team and developing partnership and collaboration that ensure cultural relevance for our brands through media sponsorship and product innovation. I can mention Malibu Media featuring actor Brian Cox, Jameson sponsorship of Major League Soccer and Kahlua chocolate chips launch. Overall for the U.S., we remain confident in the recovery of the market, convinced that the current challenges are primarily cyclical in nature, and we expect to see continuing gradual improvements in our sell-out performance. Moving to China, net sales Q3, minus 5% year-to-date minus 22%, the macro context remains challenging. We see sharp declines on Martell. And as expected, CNY was very soft with significant declines in gifting. We are delivering very strong growth on premium brands with Absolut, Olmeca and Jameson, and Q3 sales benefit from cycling a favorable comparison basis. We've been taking price for Martell at the level of mid-single digit in our February. Moving now to India. Net sales Q3 plus 1% year-to-date plus 5%, broad-based growth year-to-date with strong underlying market demand and continuing premiumization trends, we're delivering a softer Q4 due to phasing caused in part by the implementation of the new custom clearance procedure impacting imported spirits and also a temporary production interruption in a third-party production site in a major state which interrupted sales of domestic spirits and which is now resolved. We see continuing strong growth, not to say, a very strong growth of Jameson, Ballantine’s and Royal Salute, good growth in Seagram’s whiskies, notably Royal Stag. So we are expecting a strong momentum in Q4 which includes catch-up from Q3. Global Travel Retail net sales, Q3 minus 31%. year-to-date, minus 17%, as expected, a sharp decline in Travel Retail driven by suspension of the duty-free regime on cognac in China Travel Retail and with a very high comparison basis, Q3 last year, again, was at plus 38%. Europe in Travel Retail continues in growth. The Americas continued to enjoy good traveler numbers and growth from cruises. In other markets, Europe continues to demonstrate overall resilience with growth in France and U.K. offset by ongoing macroeconomic driven decline in Germany as well our high comp basis in Germany last year of plus 36%. And the impact in Spain from the later Easter timing, which is impacting as well other markets like U.K. and Germany. In Asia, Japan is in good growth year-to-date though Q3 impacted by high comparison basis. In Americas, Brazil enjoyed good growth with favorable comparison basis and consumer demand recovery and Canada enjoyed good growth year-to-date. And in Middle East and Africa, we are delivering strong growth in Turkey and in South Africa. That concludes my opening comments. And now we can open the line for questions.
Operator: [Operator Instructions] First question is from Andrea Pistacchi, Bank of America.
Andrea Pistacchi : Two questions, please. The first one is on Europe. Europe was a bit softer than most were expecting, I think, in Q3. So could you give a bit more perspective on what drove the deterioration? You called out Easter phasing, which is clearly a factor, but what is also an underlying, what geographies are performing better, which ones look more challenging? The second question, please, is on the U.S. I was wondering whether you're able to quantify the impact of the shipment phasing ahead of tariffs. Will this phasing effect unwind in Q4? And considering the level of stocks that you have in the U.S. now either with distributors or Pernod U.S.A? When should we start to see an impact from the tariff on your P&L, assuming the current sort of situation of 10% is confirmed, will the impact be delayed into the next fiscal?
Helene de Tissot: Thank you, Andrea, I think it's probably more 5 question than 2. So please try to make it to 2, but very, obviously, fair question. So let me start with Europe. So as I mentioned in my introduction comments, there is an Easter impact, so 3 weeks which makes it obviously very different from what it was last year. Let me maybe reiterate that we are posting solid results, resilience for Europe globally and with some growth in a very significant market for us, like France and U.K. Maybe let me then zoom on 2 markets for which the performance in Q3 is a bit more challenging, so Spain and Germany. So starting with Spain, obviously, Easter impact, as we mentioned. And the market is in a , I would say, modest decline. So that's what we are as well delivering in Spain. For Germany, the macroeconomic situation is obviously, as you know, challenging and has an impact on the consumer demand. But for us in Q3, there are some technicalities linked to this high comp. And last year, Germany was growing at 36% in Q3, which was obviously as well boosted by some technicalities to be very clear. There were some replenishment post-commercial conflict in Q3 last year. So we don't manage our business on a quarterly basis in Europe and in any other region to be fair. And on top of that, and just maybe as a reminder, Q3 is a very small quarter in Europe. So there are probably some extreme technicalities impact because it's a low quarter, but globally, Europe resilience. Second question, U.S. yes. So the shipment phasing. So obviously, when you look at the numbers of Q3, our net sales are at plus 2%, you have obviously the same information that we have in terms of sell-out, and we are probably more right now delivering sell-out, which are, I would say, at circa minus 6%, probably more moving to minus 5% in value. So there is some gap there linked to the wholesalers order ahead of the tariff announcement. It's a bit difficult to be extremely, I would say, prescriptive on what to expect in Q4 because, obviously, the tariff situation is quite fluid, as we say. So the inventory might continue to be impacted by the tariff uncertainty. But as far as our portfolio of brands is concerned in terms of performance expected for Q4, we are, as you know, continuously closing that gap to market. It's quite visible in the past 3 months numbers. So we expect that to continue to happened in Q4 with some improving performance, especially on big brands like Jameson, Absolut and Kahlua and in terms of brand activation, Q4 is quite an exciting quarter on some of the business with many, I would say, festive happening with Easter, as well as Fathers' Day, Cinco de Mayo and we have a lot of activations happening with festivals, Absolut at Coachella, Código at Stagecoach, we have as well so the media launch which we have quite funny -- Malibu with Brian Cox and lots of as well events with innovation on Kahlua and Absolut. So our teams are extremely motivated to have our brands very desirable and visible in Q4.
Andrea Pistacchi: Just to clarify here, Q4, then you should be still quite shielded from the impact of the tariff, right, not a material impact in the U.S.
Helene de Tissot: Yes, exactly. So for us, basically, in fiscal year '25, the main impact of tariffs is China, which we have completely affecting. That's why we are confirming our ability and our confidence to sustain the operating margin in fiscal year '25.
Operator: Next question is from Gen Cross, BNP Paribas Exane.
Gen Cross : You called out a number of technical phasing impacts in Q3 that you expect to reverse in Q4. I just wonder if you comment with these in mind, would you expect to return to directionally positive group organic sales growth in Q4? And then I know that there wasn't any comment on FY '26, which I think it's probably quite typical with the Q3 trading update, but can you just reiterate that your expectations with respect to an improvement in organic sales growth next year hasn't changed.
Helene de Tissot: Thank you. And these are only 2 questions. So as well, thank you for that. So Q3 technical phasing to reverse in Q4. Yes, that's what I said, by the way, what I can as well add to that is that if we are, let's say, adjusting Q3 numbers from all those technicalities. Q3 underlying growth would have been at circa plus 2% -- minus 2%, sorry, which means slightly better than Q2. So with those reversal of technicalities to obviously deliver a low single-digit decline, you're right, Q4 would be probably in a modest growth. And by the way, as I said as well, 2/3 of our business are growing in H1 in year-to-date, but this is as well our expectations for the full year, probably growing at circa plus 1%. So for fiscal '26, yes, we reiterate the sequential improvement in the top line that we are sharing for the H1 communication.
Operator: Next question is from Edward Mundy, Jefferies.
Edward Mundy : Two questions, please. First is on India, clearly some phasing impacts within the third quarter, can you perhaps double-click on what's going on within India and sort of a degree of comfort that as we look into Q4 and fiscal '26, it's a much cleaner outlook and probably more in line with underlying trends. And then the second question is just perhaps a quick lap of the world in terms of inventories. We've touched a little bit around the U.S., given some of the volatility there from a tariff standpoint, but perhaps you could talk about inventories around the world, where may they be heavy? Where are they looking normalized? And how you're thinking about the overall health of inventories if we are going into a potentially slower macro environment?
Helene de Tissot: Yes. Thank you. So I'll start with the inventory. You're right. This is obviously something that we are always carefully monitoring throughout the year with a clear focus on lending with a healthy level of trade inventory at the end of June. So nothing new for us, this is something that's we are closely monitoring, I would say, as usual. And when it comes to the inventory at the end of March. So they are slightly elevated in U.S. and China, given the macro circumstances. Obviously, in the U.S., as I said, this is due to the wholesalers buying ahead of tariffs. And in China, as well slightly elevated. We had some trade buying ahead of price increases because again we have increased our price in February for Martell. So India. India, the underlying performance is quite strong. And for all the reasons you know, we are in a very strong position in terms of market share. Our portfolio of brand is very well exposed to the consumer dynamics opportunities, both for the local portfolio of brands and as well as for the imported brands. So that's what we expect for the year, a solid growth in India, and we have the same ambition for fiscal year '26 and beyond. Then to tell you that there will not be some technicalities from one quarter to the other, especially in the country like India, I think it's impossible. But Again, that's not what matters. What matters is the continuous deployment of our strategy and strong growth, which is as well relying on very strong premiumization trends. So we are well very ambitious for our fiscal year '26 in India.
Operator: Next question is from Trevor Stirling, Bernstein.
Trevor Stirling : Just one from me, Helene, so you're getting better as they go on. The U.S. sell-out gap, Helene, so just double checking. So if the market is flat and Europe, minus 5%, that's a 5 percentage point gap. When I look at some of the public data, it looks like you're closer than that. Just wondering if there's anything else going on and maybe some sort of sense on how quickly that gap is being closed. That would be great.
Florence Tresarrieu: Thank you very much, Trevor, for this question. So I was obviously [indiscernible] and there's obviously some weekly updates. So what matters is the trend. And it's quite visible now, especially in terms of volumes, but we are closing the gap strongly. We are probably now at only 1 point gap in terms of volume performance versus the market. We are still a bit penalized by negative price, which is obviously going to ease moving forward because, as you know, we're still adjusting some of our pricing position and as well increasing some promotional efforts behind our brands where it was necessary. And this started already a year ago, but because of the system, it can take a bit of time to reach the shelves. So we're going to be moving quickly to a comparison basis where those price adjustments were in place, and that will obviously help us to reduced, close that cap even faster. So you're right, it's probably slightly better than this like a minus 5% depending on the period we are looking at. But this is obviously something that we expect to see accelerating in the near future.
Operator: Next question is from Simon Hales, Citi.
Simon Hales : Helene, can I just sort of comment and clarify your comments around the underlying performance in Q3 if we ex out the U.S. stock build, the Easter phasing, the India issues. I think you said your organic sales would have been down minus 2%. So 100 bps better than the headline you reported this morning. If that's correct. As we head into Q4, I'm just trying to understand how we get back into positive growth given that I think the comps in China are tougher, now we won't be seeing such a stock build again in the U.S. in Q4. I'm just wondering what the moving part is, which are markets to really move forward in Q4 significantly to get into positive growth, I'd appreciate India will improve. But where else could be better? And then secondly, I wonder if you could just talk a little bit about the Asian duty-free situation at the moment. Are you still not able to ship into that trade channel?
Helene de Tissot: So let me come back to first question on the Q3, Q4. So as I said, we would be at minus 2.1% precisely. We were adding back positive and negative phasing FX in Q3, which are mainly, maybe to repeat them, to make sure that this is clear for everyone some of the -- so positive trading effect in the U.S. with the wholesalers buying ahead of the tariff announcement. These technicalities in India, some Easter impact in different European markets. And as well, the Travel Retail very high comp in Q3. So now moving to Q4. To be fair, if you are restating from those technicalities, we don't expect a significant change in the underlying performance in Q4. But if you want, I can be a bit more specific, looking at our must-win markets, so India, again, expect to see a strong momentum in Q4 with the reversal of Q3 phasing effects, so India was at plus 1% in Q3. So we expect a strong growth in Q4, double digit, to be clear. For Travel Retail, it would be a much less significantly severe decline than Q3 because of the favorable comparison basis we're going to enjoy in Q4. And despite the suspension of cognac listing in China. So maybe I can as well answer your second question here. The most recent announcements are more linked to the ability for our customers to sell the cognac brands that they already bought than anything that could impact our sell-in in Q4, at least that's what the situation is as we speak. Then Easter, obviously, will have a positive impact in Q4 in a number of markets, including Spain. And for the U.S., it's likely to be rather soft given the underlying sellout I was referring to, even if, to be fair, the tariff situation is bringing some uncertainty in terms of what to expect in Q4. And for the rest of the business, circa 60%. Again, we expect it to be at least flat or growing in Q4, which is very consistent with year-to-date. I hope it's helpful.
Operator: Next question is from Olivier Nicolai, Goldman Sachs.
Olivier Nicolai : Just regarding the U.S, you mentioned good growth in Skrewball for the first time, I think, since you bought the brand. I remember you had some distribution issues in the past post the acquisition. Has it been resolved now? Do you see that, that growth as sustainable? And similarly, just to stay on the U.S. regarding Jameson, would you be able to comment on St. Patrick's Day performance, although I will understand if we have to wait mid-May for the update from cognac.
Helene de Tissot: So thank you. So I mean, Skrewball is obviously a brand that we are very excited about, and we bought it quite recently. And this is obviously tapping into the opportunity of the flavored whiskey in the U.S. You're absolutely right. There were some disruptions in terms of transition of the distribution, which is now over. Skrewball is now in growth, and we are obviously expecting to grow much more in the future. And to be fair, there's lots of things that are happening. We had a very successful and funny media campaign. We are now increasing the presence and visibility of Skrewball, both in the on-trade and in the off-trade. We believe it's absolutely critical to have -- to give the opportunity to the consumer to taste the product, which is -- which I mean the quality of the liquid is very strong. So obviously, more to come on Skrewball and Jameson, obviously, very, very big and star brand for us in the U.S. And we are in a much stronger place when it comes to the performance of Jameson recently, especially when you look at the performance versus the competitive set. Jameson is, I would say, overperforming. St. Patrick's Day, we have some early insights. So as you know, it was -- it happened on the Monday, which is not ideal, but we managed to quite nicely use that as an opportunity to talk about more kind of St. Patrick's Day season, than -- St Patrick season rather than St. Patrick's Day. And according to the early insights Jameson has performed well versus competitive set. It has not been the best St. Patrick's Day ever because of this timing.
Florence Tresarrieu: We're going to take the last question, please.
Operator: Last question is from Chris Pitcher, Redburn Atlantic.
Chris Pitcher : A quick follow-up on the U.S. You mentioned that you're putting through the pricing adjustments and some promotional activity. At the group level, you talked about sustaining operating margin, has cognac been given the leeway to actually invest margin in the U.S. with the rest of the group covering this? And then a clarification, apologies if I've missed it, but in terms of the completion of the wine sale, is that still on track for the end of the fiscal year?
Helene de Tissot: Yes. Thank you. So you didn't miss anything. I didn't mention that for the closing of the wine disposal. So our expectation is that it will happen around spring. So spring started a few days ago, we are confident that this will happen in the next week, very likely, but before the end of the fiscal year. So I would say completely in line with our expectations, and our teams are working hard to finalize the closing. When it comes to your question on the sustaining the margin and investing in the U.S., if I can summarize it like this. again, U.S. is our number one market, we are investing strongly in that market. And we have the ability to sustain our organic margin this fiscal year without obviously compromising on the level of investment we want to put behind our brands in the U.S. So maybe just to reiterate our confidence to sustain the margin this year. So first, volumes are stable or growing in the year-to-date, which is as well helping to absorb our fixed cost. We have some pricing more subdued than at the time of the high inflation, but we are still increasing prices in some markets and significantly, by the way, in those markets, especially emerging markets, but not only we are impacted by a negative market mix for sure, when you look at the net sales numbers of markets like U.S., China and Travel Retail, but we are delivering significant efficiencies both at COGS level and as well as [indiscernible] level, I would say, behind every line of the P&L. I guess you remember that we were mentioning this EUR 900 million efficiency program that we intend to deliver from '23 to '25. Half of it is going to be delivered this fiscal year. and that's why we have that confidence of sustaining operating margin without compromising in terms of investments behind our key priorities, by the way, not only in the U.S. but everywhere else. Thank you very much.
Florence Tresarrieu: Thank you so much. Have a great good day, everyone.
Helene de Tissot: Thank you, bye.